Operator: Dear investors, good afternoon. Welcome to join us at Goldwind 2025 Interim Results Announcement Telephone Call. Today, joining us, including Mr. Cao Zhigang, VP and Board Director; VP, Board Secretary and Company Secretary; Ma Jinru, CFO, Wang Hongyan; and Mr. Chen Qiuhua, Group VP and GM of Wind Power Industrial Company. Now Madam Ma Jinru is going to walk us through the industry development and company's operation for first half of 2025. And then Mr. Wang Hongyan is going to walk us through the financial indicators, and then we'll kick off our Q&A. Madam Ma, please.
Jinru Ma: Thank you. Am I audible? Okay. Dear investors, good afternoon. Welcome to join us at 2025 Goldwind interim results announcement, and thank you for your long-term support and care to the company. Let me now walk you through the industry development update. This is the GWEC global wind power market update. As you could see, previously, we have updated it on the Bloomberg global data, but now GWEC as a professional council, they have more authoritative data. 2024 global new installation was 117 gigawatts, onshore wind, 109 gigawatts, offshore wind totaling 8 gigawatts. By region, APAC accounts for 75% of the total installation. China represents 68% of the total installation. On the right side, you could see the wind power price from '21 to 2024, the LCOE of onshore power declined by 70%, whereas in China, it declined by 68% from 2010 to 2024. Now the global LCOE is USD 0.034 per kilowatt. And in China, it is now USD 0.029 per kilowatt hour. The LCOE of offshore wind power declined by 62% from USD 0.208 kilowatt hour in 2010 to USD 0.079 kilowatt in 2024, whereas in China, the onshore -- the offshore wind power LCOE also declined by 72% -- let's look at grid connection. In first half of 2025, China recorded 51.4 gigawatts of new connection increased by almost 100%, of which onshore 48.9 gigawatts and 2.5 gigawatts for offshore. As of June 2025, China's cumulative grid connection for wind power totaled 572.6 gigawatts, taking 15.7% in China's power mix, where thermal power declined further to 40.4%. You can see that the installation of renewable energy has surpassed that of thermal. On the right side, you could see the power production and utilization hour. China in the first half of 2025 has used Total power was 3.7% year-on-year increase, where power -- wind power production in China increased by 16.6%, representing a penetration rate of 12.1% utilization rate of wind power is 93.2%. The national average wind utilization was 1,087 hours, 47 hours decrease year-on-year. Let's look at the public market tender market. In 2025 first half, you can see that the market totaled 71.9 gigawatts in first half 2025, 8.8% year-on-year increase. 71.9 gigawatts is definitely a very large capacity by market. Onshore public tender market totaled 66.9 gigawatts and offshore 5 gigawatts. By region, of course, northern part of China accounted for 77%, while south part accounts for 23%. On the right side, you could see the average monthly bidding price. We can see that the bidding price is stabilizing and raising by the end of June, the overall average bidding price of all WTG suppliers in the market recorded 1,616 per kilowatt. And in first half of 2025, in China, we have multiple policies to support wind power. Of course, there are energy policy updates -- in January 1, 2025, the energy law of PRC came into effect proposing to improve the energy development, utilization policies, optimizing energy supply, consumption structure and promoting clean and low-carbon energy. On January 7, 2025, NDRC issued a national unified market construction guidelines proposing establishing a national unified energy market system. On February 9, 2025, NDRC and AER jointly issued notice on deepening market-oriented reform of unrid power tariffs for new energy to promote high-quality development. That's a very well-known document. It proposes to deepen the market-oriented reform of unrid power tariffs and promoting full entry of new energy generation into China's power market. On the right side, you could see policies that promote low-carbon transformation. In February 27, -- the NEA issued the Guiding Opinions on energy work in 2025, proposing to increase the proportion of nonfossil fuel power generation capacity to almost 60% and proportion of the nonfossil fuels to about 20%. On March 5, 2025, government work report, it also proposed steadily advanced carbon peaking and carbon neutrality, establishing a zero carbon parks and factories. In May 25, 2025, the State Council also had reviewed and proved the manufacturing industry green low carbon development action plan pointed out the need to accelerate green technology innovation and advancing the green transformation of traditional industries. On the right side, you could see the green certificate market development and how the energy innovation were going to be expanded. For example, on March 6, 2025, 5 ministries included the NDRC issued opinions on promoting high-quality development of renewable energy green power certificates market proponing that by 2027, green certificate market trading system will be completed. In April 11, 2025, NDRC also issued a guiding opinion on building virtual power plants. By 2027, the construction operation and management mechanism for virtual power plants will be mature, and there are going to be at least 20 million kilowatts adjusted capacity provided by virtual power plants by then. By May 21, NDRC also issued a notice on developing green power direct connection proposing to strengthen the overall building of the market. All these policies will definitely facilitate a low-carbon energy like wind power steady development. Against that background, let's now talk about our performance from the company. We have 4 segments. We issue our results in different segments, including WTG manufacturing sales, Wind Farm Development, Wind Power Service and Other Business. In first half, all of these 4 segments presented sound development. WTG sales definitely grew by almost 100%, accounting for 76% above of all our revenue. The Wind Farm Development also developed robustly, now accounting for 11% of our total revenue. We will walk you through the different segmental performance. Now the first segment. During the first half of 2025, we have external sales capacity of 10,641 megawatts representing an increase of 106% year-on-year. Sales capacity of WTG at 6 megawatts and above totaled 8,672 megawatts, taking 81.5% of total sales and that of 4 megawatts to 6 megawatts, taking 18.3% and below 4 megawatts, taking 0.2% of total sale capacity. If you look at the order backlog, we could see the total order backlog was 54.8 gigawatts and the external order backlog totaled 51.8 gigawatts, including 10.4 gigawatts of successful bid and 41.4 gigawatts of signed contracts. And if you look at the external order mix, we can see that there are capacity units below 4 megawatts accounting for 1%, between 4 to 6 megawatts, accounting for 15% and for above 6 megawatts accounting for 84%. If you look at our global expansion, we have seen very steady growth where we have cumulative installation in overseas market, for example, in South America, exceeding 2 gigawatts, in Asia, exceeding 2 gigawatts. As of June 30, the order backlog in overseas market totaled 7,360 megawatts. If you look at the grid connection, company has added 709.04 megawatts of attributable grid connection wind power capacity and we sold about 100 megawatts at home and abroad. If you look at the 8 gigawatts capacity on the right side pie chart, you could see the distribution. For example, in Central China, it talks about 32% and the Northwestern part, of course, a big chunk. Other parts, for example, North China, 22% and Northwestern 28%; East China, 32%. If you look at the right side, most of the capacity are in Northwestern China. Now let's talk about the utilization. You can see that in first half of 2025, our South wind farms recorded 1,265 hour utilization. That is 168 hours higher than that of national average. Let's look at the wind power service business. By June 30, the company's under operation capacity totaled 45.95 gigawatts, up by 37% year-on-year. That's all for my introduction. Now I'll hand over to our CFO to walk you through our financial results.
Hongyan Wang: Dear investors, good afternoon. Goldwind Science and Technology is very happy to report to you our profitability index, and thank you for your support to us, especially for your interest in wind power market, and thank you for joining us today at the results announcement. Let me now walk you through the 2025 first half financial index. On Page 15, you could see that the consolidated revenue, GP margin. On the left side, you could see -- on the left side, upper corner, you could see the revenue. You could see the list of our revenue in gray and in blue, representing the revenue in 2024, 4 quarters and in 2025. Our revenue is very historically high, which is definitely attributable to our WTG manufacturing. Our revenue totaled CNY 21.852 billion. If you look at the profit margin, it is 15.35%, which is much higher than the second quarter. If you look at the -- gross profit increased by CNY 693 million, mostly coming from the WTG manufacturing business. On the left side, you could see the net attributable profit, which totaled CNY 1,488 million, CNY 110 million increase year-on-year. Mostly, it's a much improvement because of the optimized business operation. If you look at the ROE, the weighted average return on equity in the first half of 2025 is 3.85%, up by 0.12 percentage points. Why? Because of our net profit increase. Of all quarters in this year, the weighted average return on equity will optimize quarter-by-quarter. It is because of the first half in 2025. If you look at the revenue, the profit margin, the attributable net profit and the weighted AROE, it is improving comparing the performance last year, our operation is improved. Now let's look at Page 16. Just now, we talk about our sales capacity as Madam Ma has briefed. First segment is our WTT manufacturing and sales. revenue is CNY 21,852 million, and our GP margin is 7.9%. So in first half of 2025, our WTG manufacturing sales business structure is much improved, which delivered us a scale-based performance and Wind Farm Development revenue, CNY 3,172 million and profit margin, 57.5% year-on-year. while last year, it was 56.4% with the Wind Power. So it is because of the policy, the data is going to change in the future. Now let's look at Wind Power Service revenue, CNY 2,896 million, profit margin, 22.5% and the business is very stable. The revenue and profit margin changes coming from the EPC revenue increase from overseas and other business is very stable. The very last segment is Other Business, we call it environmental protection business. The revenue shrank a little bit because of some water treatment solutions have seen decreased revenue. So in the future, the profit margin is going to rely on the water tariff increase. And of course, we have seen less investment return from our investment projects. which is quite normal for the company as we start to steer upon our main principal business. Now you can see the days of trade receivables at the end of June 2025, trade receivable taking 21% of total assets increased by 2 percentage points, whereas the days of trade receivable is 173 days, much more improved because of our revenue increase. In 2025, we will continue to improve our days of trade receivables so that we could reduce our trade receivables proportion out of our total assets and total revenue. On the right side, you could see days of inventory and contract assets in first half of 2025. Inventory and contract assets account for 12% of total assets, down by 2%. And the days of inventory is 130 days, much more improved compared to first quarter of 2025. On Page 18, you're going to look at the solvency position on the left side, you could see the interest-bearing debt. End of 2025, company's interest-bearing debt taking up 41% of our total liabilities. If you look at quarter-by-quarter or year-on-year performance, this position is decreasing. So the interest-bearing and noninterest-bearing debt structure has been much improved. And if you look at interest-bearing debt itself, the structure is much more improved where capital utilization cost has been much improved. And the financial cost is also decreasing, which reflects the debt structure improvement. On the right side, you could see the asset liability ratio -- in the beginning of the year, debt ratio was 73.96%, whereas in first half 2025, the asset liability ratio is 73%, totaling CNY 161 billion. So that means our asset liability ratio is continuously improving, and the company will continue to focus on its improvement. We're going to manage our long-term assets, current ratio, improving our debt structure to make sure we have more growth out of our attributable assets, and the company is now drafting our 15th 5-year strategy so that we could further improve our asset liability ratio. While we are mitigating financial cost proactively, we want to make sure the sound health of our asset liability ratio. The last page is our cash flow, especially the net operating cash flow. On the left side, you could see our cash in first half of June 2025, total ratio of cash to total assets is 5.93% year-on-year, it's very flat. And quarter-by-quarter, it is decreasing, which means capital utilization efficiency is much more improved. On the very right side, you could see the net operating cash flow. Here, there are three factors. Number one, our operating cash flow trend is very much aligned with the seasonal changes in the industry. Over the years, the trend is very similar. Second feature is you could note that the net operating cash flow outflow is shrinking. In first half, the outflow is CNY 2.9 billion. which is much more improved. It is the smallest outflow in the last 5 years. Why? It is because we have more lean management tools, especially on how we manage our key accounts, how we manage our cash structure. Secondly, it is also attributable to May 31 policy and the last year of the 14th 5- year plan and the increase of the overseas orders. So in the first half of 2025, our operating cash flow is improved. The third feature is the inflow is not going to be less than attributable net profit, which means that while we continue to improve our profitability, we continue to increase more cash balance in our account. That's all for me. Thank you to all shareholder support. Thank you. [Statements in English on this transcript were spoken by an interpreter present on the live call.]